Operator: Hello and welcome to the Brookfield Corporation fourth quarter 2024 Conference Call and Webcast. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. I would now like to hand the conference call over to our first speaker, Ms. Angela Yulo, Vice President, Investor Relations. Please go ahead.
Angela Yulo: Thank you, operator, and good morning. Welcome to Brookfield Corporation's fourth quarter and full year 2024 conference call. On the call today are Bruce Flatt, our Chief Executive Officer, and Nick Goodman, President of Brookfield Corporation. Bruce will start off by giving a business update, followed by Nick, who will discuss our financial and operating results for the quarter and the year. After our formal comments, we'll turn the call over to Diak. In order to accommodate all those who want to ask questions, we request that you refrain from asking more than two questions. I would like to remind you that in today's comments, including in responding to questions and in discussing new initiatives, initiatives in our financial and operating performance, we may make forward-looking statements, including forward-looking statements within the meaning of applicable Canadian and US securities laws. These statements reflect predictions of future events and trends and do not relate to historic events. They are subject to known and unknown risks and future events and results may differ materially from such statements. For further information on these risks, and the potential impacts on our company, please see our filings with the securities regulators in Canada and the US and the information available on our website. In addition, when we speak about our wealth solutions business, or Brookfield Wealth Solutions, we are referring to Brookfield's investments in this business, that supported the acquisition of its underlying operating subsidiaries. I'll turn the call over to Bruce.
Bruce Flatt: Thank you, Angela, and welcome everyone on the call. We had a strong year in 2024 with record financial results. Distributable earnings before realizations increased 15% to $4.9 billion. That's $3.07 per share for the year, and total distributable earnings increased 31% to $6.3 billion. Nick will expand on these results later. Our manager had over $135 billion of inflows and further expanded its credit platform. Our wealth solutions business is now firmly established as a top-tier annuity writer in the US, and we are just getting started in the UK. Our operating businesses continue to generate stable and growing cash flows backed by our high-quality essential service assets and businesses. With a 55% return in the stock market during 2024, that moved our 30-year track record up to a compound annualized return of 19% for the 30 years. Said differently, a million dollars then became about $189 million today. That is a lot of compounding. Turning briefly to the economic environment. Markets were constructive for most of 2024, despite increased volatility caused by potential policy changes and geopolitics. But with inflation tempered, short-term rates are stabilizing at levels consistent with more normalized economic conditions. We capitalized on this backdrop, financing approximately $135 billion of debt and selling nearly $40 billion of assets at strong returns. Looking ahead, market conditions are becoming increasingly constructive, which should contribute to a continued recovery in transaction activity, especially for high-quality assets and businesses like ours. We expect to advance our robust pipeline of asset sales at attractive returns, which will lead to significant carried interest in the coming years. Nick will speak to that in more detail in his remarks. At the same time, with record deployable capital of approximately $160 billion and a constructive market backdrop, the outlook for deployment is strong. This makes us quite confident in the outlook for growth in our earnings and cash flows, which should lead to increased intrinsic value for your shares. 2025 looks like it should be another good year. Our strong stock performance in 2024 was great. More importantly, though, the business's ability to consistently generate attractive investment returns has led to continued growth of our intrinsic value over the long term. The intrinsic value per share is now up approximately $100 per share, which underpins your shares and should allow you to earn a greater return than the underlying performance of our business over time. In addition to that, this offers us an easy way to continue to add value per share by repurchasing shares. In 2024, we repurchased approximately $1 billion of shares, with another $200 million to date in 2025. Our businesses also continue to get better. Our operations-oriented approach and our focus on high-quality cash generative businesses has driven significant value creation for stakeholders. One such recent example is the dividend distribution and recapitalization of Clarios, which is the world's leading provider of advanced low voltage batteries. In our six years of ownership, which I might emphasize, included a lot of market volatility, the COVID era included, profitability increased by more than $500 million to over $2 billion a year of annual EBITDA. This allowed us to reduce debt by $2 billion and we solidified the business to service virtually all hybrids and electric cars. All of this enabled us to refinance the business recently, funding a $4.5 billion distribution to Clarios shareholders that generated a 1.5 multiple of our original equity. Just to be clear on that outcome, all owners, including ourselves, received back 1.5 times our original invested equity and we still own 100% of the business. On the opposite side, our observation on the public markets is that we continue to see a shift from active to passive investing. Over the past few decades, much of the investing for regular non-professional investors has transferred to passive index investing. While on balance, indexing has probably been beneficial for the average investor, there have been implications for listed businesses. This indexing impacts us in a couple of ways. First, increasingly, there are a group of companies that do not fit neatly into indexes, and as a result, trade poorly relative to value. Our recent take privates such as Triton, Tritech's EuroBox, and Network International are all examples of companies that were excluded from any index and therefore were acquired at good value. Our collective knowledge and expertise combined with our scale and resources have enabled us to execute these transactions and we see more opportunities to come. Indexing also affects our own companies. And while our main job is to make money for you, we also pay attention to how that value trades in the market to ensure that the value of the business is ultimately reflected in the share price over the longer term. Our efforts to simplify the structure of our asset management business and establish its eligibility for all relevant major US indexes is the outcome of this reality. In summary, and before I turn it over to Nick, our access to capital and the embedded growth within each of our businesses, in conjunction with the transaction activity picking up in 2025, positions us well to continue to deliver strong growth in our cash flows and intrinsic value per share over the long term. Thank you for your support and interest in Brookfield. I'll turn it over to Nick.
Nick Goodman: Thank you, Bruce, and good morning, everyone. We delivered record financial results in 2024. Distributable earnings or DE before realizations were $4.9 billion or $3.07 per share for the year. This represents an increase of 15% per share over the prior year. Total DE, including realizations, was $6.3 billion or $3.96 per share, a 31% increase over the prior year with total net income of $1.9 billion for the year. Focusing first on our operating performance, each of our businesses leveraged their strong operating platforms to deliver growing cash flows. Our asset management business generated distributable earnings of $2.6 billion or $1.67 per share for the year. Total inflows were over $135 billion in 2024, driving an increase to fee-bearing capital of 18%, which ended the year at $539 billion. This resulted in a 17% growth in fee-related earnings compared to the prior year quarter. Heading into 2025, we expect to hold final closes for our latest flagship funds and continue to actively deploy capital, which should contribute to strong earnings growth. With that momentum, our manager announced a 15% increase in their quarterly dividend to approximately $0.44 per share, which for context is close to $300 million of incremental cash annually distributed to us from this business. Our wealth solutions business is scaling rapidly and is in a very attractive market backdrop. Distributable operating earnings were $1.4 billion or $0.85 per share for the year, nearly double compared to the prior year. That was close to $700 million of incremental cash flow and earnings this year and growing. Following the close of AEL, our Wealth Solutions business is now firmly established as a top-tier annuity writer in the US and when including the growth in our pension business, has the potential to originate over $25 billion of predictable liabilities annually. During the year, we originated approximately $19 billion of retail and annuities, increasing insurance assets to over $120 billion. We continue to scale our credit investment platform leveraging our unique positioning around real assets. During the quarter, the average investment yield on our assets was 5.4%, and 1.8% higher than the average cost of capital. And as we continue to gradually rotate the investment portfolio, spread earnings are expected to increase to approximately 2%, which will in turn grow annualized earnings from approximately $1.6 billion today to $2 billion in the near term. It is worth emphasizing that this business continues to generate stable and growing long-dated cash flows. By leveraging the investment capabilities of our asset management business, we're able to focus on long-duration investing in real assets and private credit, that matches with our long-dated liabilities, which have an average duration of nine years and low annual churn. This is a key driver of selling best-in-class retirement income solutions for Americans. Furthermore, we continue to scale our strong operating platforms and progress our plans to expand into new markets with teams on the ground in the UK. Our focus remains to compound capital and deliver 15% plus returns on our equity. Through our combined wealth solutions platform, we're raising close to $2 billion of retail capital per month, which includes over $450 million a month from our private wealth channel. Our operating businesses continue to deliver stable and growing cash flows generating distributable earnings of $1.6 billion or $1.03 per share for the year. Operating funds from operations within our renewable power and transition infrastructure and infrastructure businesses increased by 10% over the prior year and our private equity business continues to contribute resilient high-quality cash flows. In our real estate business, our core portfolio delivered 4% growth in same-store net operating income over the prior year quarter. During the year, we signed close to 27 million square feet of office and retail leases. A few highlights of our robust office leasing activity include approximately 5.5 million square feet leased in India, 2.5 million square feet in Toronto and New York, and 1.3 million square feet in the UK. In our retail portfolio, our occupancy levels remain high at 96%. Overall, rents on the newly signed leases in our office and retail portfolios were approximately 35% higher compared to those leases expiring in the fourth quarter. Also during the fourth quarter, our DE further benefited by approximately $125 million from monetizing a land parcel within our North American residential operations. Given the positive market dynamics for high-quality assets, we expect earnings and valuations from our real estate business to continue to strengthen in the coming years. Turning now to monetization activity. We continue to see strong demand for the globally diversified portfolio of high-quality, cash-generating assets and businesses we own. In 2024, we monetized nearly $40 billion of assets across the business. In our real estate business, we closed the sale of a portfolio of US manufactured housing assets for approximately $570 million, crystallizing an approximately 29% IRR and 3.4 times multiple of capital. Our renewable power and transition business generated record proceeds of $2.8 billion from asset monetizations, returning a 2.5 times multiple of capital and an IRR of approximately 25%. In our infrastructure business, we advanced a number of sales including the close of the previously announced sale of our fiber platform in France delivering an IRR of 17%. Monetizing assets is the last step of the lifecycle of carried interest as it crystallizes a large component of the profit of an investment. And as a reminder, we adopt a conservative approach to realizing carried interest into our earnings. Specifically, we only recognize carry once we have returned the invested capital of the entire fund as opposed to one individual deal to clients and have achieved a minimum compound return resulting in a remote risk of callback. This approach delays the carrier recognition towards the end of a fund's lifecycle that leads to a larger contribution when recognized. Today, our total accumulated unrealized carried interest is $11.5 billion, of which $10 billion is directly owned by the corporation and most of which we expect to recognize into our earnings over the next five years. In 2024, we recognized approximately $400 million of net realized carried interest into income and more importantly, as we advance our investment plans and continue to monetize assets, we expect to generate approximately $20 billion of cash flows directly. This will allow us to deliver further value for you by either reinvesting the cash back into the business or by returning capital through opportunistically repurchasing our shares. Shifting to our balance sheet and liquidity, we continue to differentiate our business through the combination of our conservatively capitalized balance sheet and high levels of liquidity with record deployable capital of approximately $160 billion. Our financial strength enabled us to continue to opportunistically repurchase our shares at significantly lower prices compared to our view of intrinsic value. In 2024, we completed approximately $1 billion of share buybacks, adding approximately $0.80 of value to each remaining share. Alternatively said, you now own 1.5% more of the assets we own for each share, and you did not have to put up any more money. In 2025 so far, we have repurchased over $200 million of shares. In the capital markets, we had an active year. We executed approximately $135 billion of financings, and notable examples include we accessed the hybrid debt markets, emphasizing our ability to raise capital from multiple sources. At the corporation, we issued $700 million of 30-year subordinated notes in December, which saw high demand from investors at relatively low spreads. We also closed a $1 billion seven-year nonrecourse asset level loan to a large institutional partner of ours, the proceeds of which will mainly be directed towards share repurchases. In our real estate business, we financed approximately $40 billion of debt across 182 investments globally, of which over $12 billion relates to our office portfolio. Liquidity is coming back to real estate markets around the world, and particularly for the high-quality portfolio of assets that we own. Subsequent to year-end, our infrastructure business completed two large financings, including the issuance of a $6.1 billion investment-grade financing at our semiconductor facility joint venture in Arizona, which further derisked the investment with the original debt facility now fully turned out the capital markets two years ahead of plan and at a lower cost. Both of the financings we executed were oversubscribed, showcasing the depth of liquidity available for high-quality infrastructure assets. Overall, 2024 was a strong year. As we look ahead to 2025, we expect that the positive momentum in our financial performance combined with our robust balance sheet and liquidity, sets us up well to drive further earnings growth and create significant value in the business. Lastly, I am pleased to confirm that our Board of Directors has declared a 13% increase in the quarterly dividend to $0.09 per share payable at the end of March to shareholders of record at the close of business on March 14, 2025. Thank you for your time, and I'll now hand the call back to the operator for questions.
Operator: Thank you. As a reminder, if you have a question, please press star one on your telephone keypad. Our first question will come from Ken Worthington from JPMorgan. Your line is open.
Ken Worthington: Hi. Good morning. Thanks for taking the question. So much to ask here, but I think I'll focus on capital management. It would seem like a target-rich environment for Brookfield and I would love to better understand what makes the most sense for you now given your view of the future, especially in the context of improving cash flows. So in terms of insurance, could a large insurance deal still make sense, you know, assuming a good fit in price, or are blocks, bolt-ons, and organic growth really sort of the exclusive path forward on the insurance side? And then in infrastructure and renewables for Brookfield Corp, given the size of the opportunity that you, asset management, your peers are all sort of talking about, and given the size of these deals, like Intel and now the French AI announcement, do you see increased indirect opportunity here such as BIP and BEP or even more direct opportunities for Brookfield Corp from an investment perspective? Thanks.
Nick Goodman: Hi, Ken. Good morning. Thanks for the question. I would say that as we think about capital management at Brookfield, there are a lot of highly attractive areas for capital deployment right now, and we sit at the center of the capital flows and have the expertise to invest into these sectors and allocate capital for what we think will be attractive returns. To answer your question specifically on insurance, it will probably be a combination of everything. That's the way we tend to grow our businesses. We like to build platforms that can deliver organic growth at attractive returns, but then we also look at M&A that can enhance and provide sort of step-change growth in the business, be it geographically or diversifying. So focusing on potentially bolting on M&A growth, and that could be geographic diversification or product diversification. As it relates to infrastructure and renewables, we've talked about this a lot with decarbonization and deglobalization almost intersecting with each other. The investment opportunity is enormous. And we have a unique combination of capabilities to play across that spectrum with the provision of renewable power at the center of that capability and the real estate expertise. I think the investment for that largely resides within our listed affiliates and our clients where we have capital available to us, but the opportunity is significant. And I expect Brookfield to be a large player in that, but the capital largely comes directly off of the listed affiliates and in partnership with our clients who have very significant appetite for these sectors.
Ken Worthington: Okay. Great. Thank you very much.
Operator: Thank you. Our next question will come from Michael Cyprys from Morgan Stanley. Your line is open.
Michael Cyprys: Hey. Good morning. Thanks for taking the question. Maybe just one on real estate. I was hoping maybe you could elaborate a bit more on your expectations for monetizations this year. You sound pretty optimistic. Maybe you could unpack what sort of instills that confidence. How do you see sort of the impact from the recent uplift in ten-year treasury yield over the past six months and potential risks from tariffs and such? Maybe just talk a little bit about what gives you the confidence there. And how do you see the sort of pace, magnitude, and cadence of this evolving throughout the year? Thank you.
Nick Goodman: Hi, Mike. So, yeah, I just make a general comment on real estate. I would say overall, globally, real estate markets continue to improve, and I'd say that's based on a few factors. One's which we said we should be watching out for over the last couple of years. One is the underlying fundamentals continue to improve across sectors. And two, the depth of liquidity in the capital markets is getting better every day and the cost of capital is compressing with spreads tightening. And, yes, the ten-year may have corrected slightly, but spreads are continuing to come in, we're seeing that across our portfolio. And not just that, but the breadth of liquidity available across sectors is improving. I think that is the ingredients that you need for a pickup in monetization activity. And on the global scale, we're seeing that activity. We've been selling assets in different sectors and different markets around the world. And I expect that to continue and specifically in the US as we see the capital markets continue to improve, the operating performance is incredibly strong. The demand for our assets is probably the most robust we've seen. The tone is improving all the time. And so we do expect this year to be an attractive environment for monetization. We have assets across the franchise that we will be looking to bring to market. The balance of that, between fund assets or those directly held on balance sheet, we'll see how that plays out. But as we sit here today and with the tone in the market, we do expect it to be an active year.
Michael Cyprys: Brilliant. And just a follow-up question, if I could, on the wealth solution side. Maybe you could talk a little bit to the organic growth of annuities and flows broadly on the wealth solutions side. Maybe talk a little bit about where you are in the process of expanding distribution, what steps are you looking to take in 2025 to drive continued growth from here? How might credit ratings upgrade be helpful? If at all? How do you might think about achieving that?
Nick Goodman: Yep. Listen, I'd say again that in the industry, in the broad industry, the tailwinds are strong. With strong drivers and the most fundamental one being demographics. And within our business, we're seeing strong sales and strong demand, and the momentum is continuing. When you talk about how we're setting ourselves up, we've expanded our distribution channels and our partners as well as the product lineup. Including sort of new proprietary products, and we're starting to see the benefits of that diversified capability. We've built our capabilities across PRT. We've done the largest deal, I think, ever done in Canada this year. We did our first large transaction in the UK, and we're doing large deals in the US. So that is broadening and diversifying our growth channels. We're also now set up to issue in the institutional market. We did our first FABN product, which is really an institutional annuity for $500 million in the first quarter. And we expect that to continue to scale. And in January alone, we wrote $2 billion of annuities out of the business. So it feels like momentum is strong, and I'd say the growth potential coming from the business is getting better every day as we continue to diversify into new products and growing into new markets. As for the rating, the entity is already fairly high rated, so we're more focused on broadening out the growth channels. But the business is heavily overcapitalized in all of the markets. And all of our insurance entities. So we think we're really well set up to continue growing.
Michael Cyprys: Great. Thank you.
Operator: Thank you. Our next question will come from Robert Kwan from RBC Capital Markets. Your line is open.
Robert Kwan: Great. Good morning. I can just start to ask about the carried interest. And so you've got $11.5 billion or $7 billion net. And most, you're talking about realizing over the next five years. So can you just talk about how you could see that pace of realizations annually and if you'd want to talk about 2025? That would be obviously very interesting. And then just as that $20 billion number you put out there, over ten years. Is there any material amount of that that you would see falling into the five-year period?
Nick Goodman: Hi, Rob. This I am I think we laid out for you investor day the ten-year view and the five-year view. Five-year closer to sort of maybe $5 billion the balance coming over the longer-term period. Beyond five years, and as you know, in our view, it's really a matter of when, not if. The performance of the underlying investments is very strong. And as market tone continues to improve and we work our way through the early return of capital, which are now in higher funds with larger investments, we expect to get to the point where Carry will meaningfully step up. As it relates to 2025, looks like it will be another sort of bridge year. Similar to last year, maybe a bit higher. But then we expect a significant pickup to really come in 2026 and 2027, and that's just a product of where we are in the lifecycle of the funds. So the story hasn't really changed compared to what we would have in the last few quarters.
Robert Kwan: Got it. No update there. And then just on the list of affiliates, just overall the fundraising has been strong at them, and we heard that commentary yesterday. Just some of the listed affiliate valuations and just how they're trading struggling a bit. And just given you've done such a good job with growing the other fundraising channels, some updated thoughts as to how you're thinking about the vehicles is the solution that they maybe just participate in future funds at a lower amount or something larger that you're considering here.
Nick Goodman: Yeah. Listen. I think with the listed affiliates, you have to not get distracted by the price at times and look at the underlying value creation. That's being generated in those businesses, and they continue to invest for excellent value and deliver excellent returns. Just look at the returns we're generating on the funds. Those returns are also being realized by the listed affiliates. And prices are temporary, markets are volatile. But I think, I mean, you know bit quite well. Investor sentiment, people like the stock, the dividend performed incredibly well over a long period of time. And we expect, as you know, price is temporary, but the value we're creating is significant and that will be realized in markets over time.
Robert Kwan: Okay. That's great. Thank you for the call. Thank you.
Operator: Our next question comes from Cherilyn Radbourne from TD Cowen. Your line is open.
Cherilyn Radbourne: Thanks very much, and good morning. Mentioned that your internal view of intrinsic value has increased to $100 versus $84 in late September. Can you comment on some of the major contributors to that increase?
Nick Goodman: Yeah. Sure. I would just say it's broad-based growth across the business. As you know, BAM has performed incredibly well in the capital markets. We continue to scale the earnings on the wealth solutions platform. Those would be two large contributors to the growth in that value. And just think it's continued execution of the plan. It's really earnings growth coming from the underlying operations.
Cherilyn Radbourne: Separately, in terms of the private wealth market, as I understand it, Brookfield is very competitive in terms of its product offerings and shelf space, but has been a bit more conservative versus peers as far as modulating intake to stay disciplined on deployment. Does that give you any concern from a competitive perspective?
Nick Goodman: Not really. I mean, the numbers that we are raising are significant. I think through our wealth platform within the asset manager, we raised about $5 billion across 2024, and we see that probably accelerating this year. I don't think we're worried about being competitive. What we're worried about is building products we believe are sustainable and can deliver attractive returns to clients over the long term. And so we'll modulate them and scale them as we see fit, but what we're most focused on is delivering returns for our clients and a product that'll be durable over the long term. And so we'll scale it up at the right time. But I would say we have amazing products for those channels in credit, and infrastructure and others are coming to the market, and we're very well set up to scale significantly in the coming years.
Cherilyn Radbourne: A quick follow-up. Like, do you have any concern that there might be an accident elsewhere that could taint the market for everyone?
Nick Goodman: It wasn't. It's hard for me to say. I don't have insight into everyone, deploys capital, but it's like anything else. It's competitive, and people are deploying capital and maybe mistakes will be made along the way, but I don't have the insight into everyone who's investing their capital.
Cherilyn Radbourne: That's all for me. Thank you.
Operator: Thank you. Our next question will come from Mario Saric from Scotiabank. Your line is open.
Mario Saric: Thank you, and good morning. When it comes to Brookfield, I think the market's historically been very focused on the trading discount and trend the value as part of the investment thesis. That said, at the investor day, you did highlight a five-year CAGR on the DE of 25%, which I think still kind of flies under the radar a little bit. How do you think about the corporation's ability to exceed that 25% target in the short term? Let's see over the next couple of years. Perhaps highlighting some of the puts and takes in terms of 2025 and 2026 versus the five-year horizon.
Nick Goodman: Hi, Mario. I think that the important part of that growth plan, 25% was the headline growth. I think 17% was the growth that we can deliver we target to deliver from the existing platform premonetizations carried interest. That's the amount I would say more directly within our control. And we feel good about the 17% and the ability to achieve that. Maybe the slight chance of our performance, but I think if we achieve that, we're doing pretty well. Over a five-year period. The chance of outperformance obviously comes from monetization activity, cash reinvestment, which will be highly accretive. As it comes in, we'll allocate it. And I think over five years, we still 25% growth think, is a very attractive earnings profile for a business over the next five years and we're very well positioned to achieve it.
Mario Saric: Okay. And then just coming back to the interest value versus trading price, you're continuing to buy back shares. Year to date, the volume exceeded the combined second half of 2024. Despite the share price being up 55% in 2024. So when you look at 2025 are you open to putting a target out there like you did for 2024? And then I guess the second part of the question would be, you think about the intrinsic value per share growth driver in 2025, in the business. What do you think is the one part of the that you're most excited about today in terms of near-term growth that the market's underappreciated?
Nick Goodman: Yeah. Listen. I don't think we need to put a specific target, but all I would say is, yes, the share price has gone up still has the value of the business. And we continue to see a discount that is attractive for us to repurchase shares and we will opportunistically do that throughout the year. We've done over $200 million already so far this year and will continue to be active. As it relates to the value of the business, listen, we look across the business and every part of the business is performing incredibly well. Right now, I think the wealth solutions platform will continue to scale the organic growth platform there, as I talked about, is continuing to really perform well and exceed even our expectations we had a couple of years ago. So that's going incredibly well. The asset management business, as you heard from Connor yesterday, is poised to have a really, really strong year with fundraising from institutional retail and high net worth. So I think when we look across the business, I think it's broad-based strength.
Mario Saric: Okay. Those are my two. I'll call back in the queue. Thanks.
Operator: Thank you. And our next question will come from Sohrab Movahedi from BMO Capital Markets. Your line is open.
Sohrab Movahedi: K. Thank you. Nick, I appreciate lots of liquidity. Is there a preference to monetize before investing?
Nick Goodman: Monetize what specifically? Mario? Just sorry. Sorry. Monetize assets.
Sohrab Movahedi: Just monetize assets. I mean, you know, obviously, I think we've heard also yesterday that it's a good market to go buy and sell. How important is it to preferential, I guess, you know, what's the preference to monetize first or just remain opportunistic and we'll have you know, roll with the punches?
Nick Goodman: Listen, I think we remain opportunistic. What is unique we've often said, and one of the key differentiators of the corporation because we have significant scale capital available to us and significant liquidity with lots of levers that we can pull. And so we're not dependent on monetizations to be doing acquisitions. And I think we believe there's lots of potentially interesting things we'll be able to do and it's not dependent on executing sales first.
Sohrab Movahedi: Okay. And so when you think about at least what some of us think through the uncertainty, whether it's around trade, whether it's policy, doesn't seem to be just unique to the US. I mean, I suppose it's creating this near-term uncertainty, which you guys like because it creates medium-term opportunities. But if you had to think through the various vectors. Or the silos of investing that you do. Like, where is the opportunity greatest and where are you being a little bit more cautious? Because of the uncertainty caused in the current environment.
Nick Goodman: Yeah. Not to skirt your question, but I think the opportunity really is broad-based. And the underlying fundamentals of each of the businesses and where the opportunities lie in terms of the sectors we want to invest in, they haven't really changed. And, you know, the operations of our business as Connor said just in the call, they're largely domestic inelastic to demand, and with our operating capabilities, we believe that our operations are largely insulated from what's going on right now, but it does create volatility. And when we see that in the market scarcity of capital in certain pockets, that could create better value entry points for the asset classes around which we're focused, but that's not specific to one sector or asset class, I don't think. I think for all of us, an independent of what's going on, we came into the year believing this would be a good year for deployment. And for monetization, and it has not really changed based on what's happened in the last few weeks. Or month.
Sohrab Movahedi: So just a quick one on that one. So it hasn't changed. So you are just as, I'll call it, optimistic today as you would have been, don't know, six months ago or four months ago when you had an outlook on 2025 previous correct.
Nick Goodman: That's correct, Sohrab.
Sohrab Movahedi: Thank you for taking my questions.
Nick Goodman: Thank you.
Operator: Thank you. And that does conclude our question and answer session for today's call. I'd now like to turn the conference back to Ms. Angela Yulo for any closing remarks.
Angela Yulo: Thank you everybody for joining us today. With that, we'll end the call.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone have a wonderful day.